Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help. Your meeting will begin shortly. Of our team will be happy to help. Thank you for your continued base. Please standby. Your meeting is about to begin. Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter Fiscal Year 2026 CarMax Earnings Release Conference Call. At this time, all participants are in a listen-only mode. There will be a question and answer session. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Lowenstein, Vice President, Investor Relations. Please go ahead.
David Lowenstein: Thank you, Nikki. Good morning, everyone. Thank you for joining our fiscal 2026 third quarter earnings conference call. I'm here today with Tom Folliard, interim executive chair of the board, David McCraight, interim president and CEO, Enrique Mayor-Mora, executive vice president and CFO, and Jon Daniels, executive vice president, CarMax Auto Finance. Let me remind you our statements today that are not statements of historical fact, including but not limited to, statements regarding the company's future business plans, prospects, and financial performance, are forward-looking statements we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on our current knowledge, expectations, and assumptions and are subject to substantial risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, we disclaim any intent or obligation to update them. For additional information on important factors and risks that could affect these expectations, please see our Form 8-K filed with the SEC this morning, our annual report on Form 10-K for fiscal year 2025, and our quarterly reports on Form 10-Q previously filed with the SEC. Please note, in addition to our earnings release, we have also prepared a quarterly investor presentation, and both documents are available on the Investor Relations section of our website. Should you have any follow-up questions after the call, please feel free to contact our investor relations department at (804) 747-0422, extension 7865. Lastly, let me thank you in advance for asking only one question and getting back in the queue for more follow-ups. Tom?
Tom Folliard: Thank you, David, and good morning, everyone. Thanks for joining us. Today, I'm gonna provide some perspective on our leadership changes and CEO search. Then turn the call over to David, who will review our initial observations and the actions we are taking in response. After that, Enrique and Jon will speak to our third quarter results before we open the line for your questions. As many of you know, I've been part of CarMax for more than thirty years. Over that time, we've developed a beloved brand with national scale, unmatched physical and digital infrastructure, and an award-winning culture. However, recent results have been unacceptable and do not reflect the company's potential. As a result, even though the Board was already working on a succession plan, we determined that more immediate change was required and that direct involvement from David and myself was the best approach to strengthen the business in the near term. The board has been searching for a permanent CEO with urgency. We are seeking a proven leader who can drive sales, maximize the benefits of our omnichannel experience, strengthen our brand, improve operations, and champion our culture. Conversations are underway. And we have some promising candidates. What is most important is that the next CEO captures the tremendous opportunity that we have in front of us. As interim executive chair of the board, I'm focused on supporting David and the leadership team. David is in Richmond five days a week. And I'm spending a significant amount of time here myself. We are operating with a renewed sense of urgency to drive the business forward. I wanna thank David for stepping into the interim president and CEO role. As you know, he has served on our board since 2018. David has more than twenty years of executive leadership experience, at prominent retail brands in highly competitive and fast-paced markets. He has led several successful brand transformations, new omnichannel strategies, and growth initiatives for digitally native brands. What made him a great addition to our board has also been a tremendous asset in this transition. Before I turn it over to David, I also wanna thank Bill Nash for his more than thirty years of service with CarMax.
David McCraight: Thanks, Tom, and good morning, everyone. I'm honored to serve as the interim president and CEO at this important juncture in CarMax's history. While our top priority is to find a terrific next leader, in the interim, Tom and I are committed to lead and take the steps needed to set up the next CEO for success. After three decades in the retail industry, and having led multiple companies through turnarounds, I am familiar with the rigor and critical thinking required to succeed. The good news is CarMax already possesses many of the vital attributes needed to turn the business and regain momentum for growth. Including a well-known and trusted brand, a strong culture supported by a base of 28,000 talented associates, and an expansive digital and physical infrastructure including over 250 premium locations that put us near 85% of the US population. Despite these advantages, and after decades of industry leadership, based on recent results, it is clear CarMax needs change. And while it has been only a few weeks in our interim roles, here are some of our observations. Prices. Our average selling prices have drifted upward and appear to be less attractive to customers. To ensure that CarMax is a preferred choice, we will work to shrink the gap between our offering and the marketplace. We are lowering margins and supporting this action with marketing spend. While also building out more effective ways to communicate our value to the consumer. We are also comprehensively reviewing all the costs associated with bringing a car to market. We're gonna find ways to eliminate the unproductive while maintaining our reputation for having a high-quality fleet. Around the consumer, we need to bring an even sharper focus on the customer throughout the organization. In guiding decisions, we will reawaken our intellectual curiosity and challenge long-held institutional beliefs as we work to discover the most important elements to the customer in closing the sale. We will emphasize customer insight in decision-making rooted in fact-based consumer research. Digital. We have the opportunity to incorporate a clear and more effective selling voice in our digital experience. While we have spent several years building out capabilities for customers to shop, how they want and where they want. We must now focus our energies on making the digital shopping experience easier. And shift our digital voice from one that earnestly delivers abundant information to one that focuses on delivering sales. This will drive conversion and further improve customer satisfaction. Just as we do so successfully in our stores. SG and A. Similar to our approach in tackling the cost of bringing our cars to market, we believe our expense structure is too high. It is clear that we have the opportunity to leverage our technological platforms and process enhancements to reduce our spend. We are committed to sharpening our business model and eliminating unproductive costs. And in just a moment, Enrique will provide a progress update on the decisive actions we are taking to reduce at least $150 million in SG and A. Profitability. We will more aggressively tap into opportunities in the selling experience to enhance our profitability. We're excited about the outstanding growth potential we have across CAF and our ancillary products. You will hear more from Jon today about our progress in full spectrum lending, as well as the steps we are taking to capture incremental flow through in our extended protection plan business. Culture. We've always been a company intensely focused on operations. But with the advent of disruptive technologies, we now need to reignite the entrepreneurial spirit that made CarMax the industry leader for decades. Simply put, we will move faster, and operate leaner while taking smart risks. We are optimistic that our immediate pricing and marketing actions will improve our sales performance. But pressure earnings in the near term. As we consider the business model more holistically moving forward, we anticipate that earnings pressure will be offset by unit growth, expanded profitability in CAF, and ancillary products, and through reductions in SG and A and COGS. Tom, the board, and I believe that CarMax has many of the requisite attributes for a successful turnaround. We are confident the actions we're taking will begin to strengthen performance while the board identifies the right permanent CEO to lead CarMax for the future. Now I'd like to turn the call over to Enrique to discuss our third quarter financial performance in more detail. Enrique?
Enrique Mayor-Mora: Thank you, David. During the quarter, we delivered total sales of $5.8 billion, down 6.9% compared to last year, reflecting lower volume. In our retail business, total unit sales declined 8% and used unit comps were down 9%. Pressure performance across our age zero to five inventory was partially offset by increased sales of older, higher mileage vehicles, which represented over 40% of our sales for the quarter. An increase of approximately five percentage points compared to the second quarter and last year's third quarter. Average selling price was $26,400, a year-over-year increase of $230 per unit. The increase was due to higher acquisition costs driven by year-over-year increase in market prices, and partially offset by the increase in toward older, higher mileage vehicles. Wholesale unit sales were down 6.2% versus the third quarter last year. Average wholesale selling price declined by $40 per unit to $8,100. We bought approximately 238,000 vehicles during the quarter, down 12% from last year. We purchased approximately 208,000 vehicles from our consumers. With more than half of those buys coming through our online instant appraisal experience. With the support of our admin sales team, we sourced the remaining approximately 30,000 vehicles through dealers, down 9% from last year. Third quarter net earnings per diluted share was $0.43 versus $0.81 a year ago. This quarter was impacted by $0.08 of restructuring expenses related primarily to our CEO change and the workforce reductions in our customer experience centers. Total gross profit was $590 million, down 13% from last year's third quarter. Used retail margin of $379 million decreased by 11% driven by lower volume and profit per used unit of $2,235. In line with historical averages, down approximately $70 per unit from last year's record high. Wholesale vehicle margin of $115 million decreased by 17% from a year ago with lower volume and wholesale gross profit per unit of $899, a decline of approximately $120 year over year. Both wholesale volume and margin were impacted by steep depreciation. Other gross profit was $96 million, down 16% from a year ago. This was driven primarily by the impact of lower retail unit volume on each CarMax auto finance income was $175 million, up 9% over last year. Jon will provide detail on CAF's growth in a few moments. On the SG and A front, expenses for the third quarter were $581 million, up 1% from the prior year. Driven by our previously communicated investment in marketing as we supported our new brand positioning launch and the restructuring expenses that I previously noted. These were partially offset by a reduction in the corporate bonus accrual. As David noted, we are on track to achieve at least $150 million in exit rate savings by the end of fiscal year 2027. We took our first significant step toward these savings this quarter with an approximately 30% reduction in our CEC workforce. This reduction was supported by our continued process and technology enhancements. Which are making our associates more efficient as well as empowering our customers to perform more of their shopping activities themselves. Turning to capital allocation. During the third quarter, we continued our share repurchases. Buying back 4.6 million shares, a total expenditure of $2 million. As of the end of the quarter, we had approximately $1.36 billion of our repurchase authorization remaining. Looking forward, I'll cover two items. We are optimistic the actions of lowering margins and increasing marketing will improve our sales performance trends. But may pressure near-term earnings. We expect marketing spend on a total unit basis to be up year over year in the fourth quarter, though to a lesser degree than during the third quarter. With a focus on investing in acquisition to drive buys and sales. Secondly, we expect pressure on our service margins in the fourth quarter. Due to seasonal sales and as we annualize over cost coverage leverage taken last year. At this time, I will now turn the call over to Jon to provide more detail on CarMax Auto Finance and our continuing focus on full credit spectrum expansion. Jon?
Jon Daniels: Thanks, Enrique, and good morning, everyone. During the third quarter, CarMax Auto Finance originated $1.8 billion resulting in sales penetration of 42.6% net of three-day payoffs, versus 43.1% last year. Weighted average contract rate charged to new customers was 11% versus 11.2% last quarter as we continue to adjust consumer rates in reaction to the broader rate environment. Third-party tier two volume for which we collect a fee and tier three volume for which we pay a fee combined 24.9% of sales versus 24.4% last year. Weakness in tier two application volume, along with the impact from CAF's expansion in the Tier two space, was more than offset by growth from our Tier three partners. CAF penetration continues to benefit from underwriting and pricing adjustments implemented since the beginning of the fiscal year estimated to be 100 to 150 basis points the quarter. However, this volume has been offset primarily by lower application volume in the prime credit segment along with the aforementioned Tier three partner lender overperformance. CAF income for the quarter was $175 million, up $15 million from the same period last year. Included in the quarter is a $27 million gain on sale along with an additional $5 million of servicing fees attributed to the closing of the 25 b deal in September. Note that while the gain on sale is fully recognized at the time of sale, servicing fee income will continue over the remaining life of the deal and will be proportional to the receivable volume remaining. Net interest margin on the portfolio was flat year over year and down to 6.2% from 6.6% last quarter, and largely reflects the higher margin receivables removed from the balance sheet as a part of 25 b. Gas had a loan loss provision of $73 million resulting in a total reserve balance of $475 million or 2.87% of auto loans held for investment. Losses observed during the quarter in line with our expectations upon which we based our reserve at the end of Q2. With regard to growing the cat business, I'm immensely proud of our accomplishments to date. Over the last eighteen months, we have greatly expanded our funding options, including this quarter's off-balance sheet transaction, which have been critical prerequisites to this growth. In addition, we continue to add underwriting capabilities and modeling refinements that support profitable expansion. Separately, I am also excited about the significant future earnings potential from both our redesigned MaxCare plan, which focuses on mechanical coverage and our new MaxCare Plus plan, which focuses on cosmetic protection. These products have already migrated from test phase to pilot in multiple markets, We expect to achieve near nationwide rollout during '27. I'd like to turn the call back over to David.
David McCraight: Thank you, Enrique. Thank you, Jon. Today, we outlined our initial observations and near-term priorities to drive improvement. Shrinking the price gap between our offering in the marketplace, with a stronger focus on customer experience increasing digital monetization capabilities, reducing costs, enhancing profitable growth drivers, and improving the speed of decision-making. And while we are realistic about the near-term challenges, CarMax's competitive foundation remains strong. We have a trusted brand, national scale that is difficult to replicate, leading omnichannel capabilities, and growing digital infrastructure, a strong financing platform in CAF, and an award-winning culture. Our execution has not matched the potential of these assets, but that's what's changing. Tom, the board, and I are focused on strengthening performance and creating a solid foundation for the permanent CEO to build upon. We appreciate your continued confidence in CarMax, and are committed to being transparent about our progress. With that, we'll open the line for questions. Operator?
Operator: To leave the queue at any time, press 2. Once again, that is star and 1 to ask a question. And your first question comes from the line of Sharon Zackfia with William Blair. Your line is open. May now ask your question.
Sharon Zackfia: Morning. Good to hear you again, Tom. I'm a conference call, and welcome, David, to the world of CarMax conference calls.
Tom Folliard: Thank you, Sharon.
Sharon Zackfia: Yeah. I guess, you know, maybe if you could give some color on the magnitude of the GPU reset that you're looking to see here in the February. And then you look at the business kind of, I guess, with a fresher perspective, are there any customer cohorts that you can delve into where you think somehow CarMax has become a bit less competitive or a bit less attractive and you know, what's the game plan to win those customers back?
Enrique Mayor-Mora: Yeah, Sharon. Hey, it's Enrique. Let me let me jump in. You know, the the margin reductions gonna be supported with acquisition spend on marketing, will be meaningful in our design just to narrow the gap that we talked about with the broader marketplace. And we're optimistic those can actually improve our retail sales trends. Into the quarter. But they're, you know, they're big enough for us to talk about. And we're gonna see how they roll out. We're gonna see the impact within this quarter. And then when we have our year-end call in April, we'll provide insight and an outlook on on what those margin reductions and marketing spend increase mean to us.
Jon Daniels: Yeah. Sharon, this is Jon. I'll jump into your customer cohort question. Now, yeah, I think there's obviously places across the spectrum that we're, you know, looking to improve and and grow sales. One in particular that stands out for me is if you look at maybe the higher FICO segments, we mentioned in the prepared remarks sort of, in CAF and the tier two section, that maybe six fifty to seven fifty space Feels like we've lost, volume there. We can track that through application volume coming through the door and then progression further on. So lot of speculation around what that could be. Certainly, we're gonna look at all things David mentioned a number of things, pricing. Obviously, we try and keep our rates competitive. Just overall, the offering that we provide the consumer I think that's one spot in particular that I think there's a lot of chance to to recapture and and fuel our growth.
Sharon Zackfia: Can I ask a follow-up? You have a competitor who will be kind of lowering finance rates proactively in in the current quarter to reinvest some of the their GPU to the customer. I think, historically, you followed the market. On on finance rates. Would there be something you'd be willing to do on interest rates to be to to kinda weaponize that a bit more to get gain more conversion.
Jon Daniels: Sure. I appreciate that question. Yeah. I think we're always keeping the pulse on the market. Looking at how we compare to obviously credit unions and banks what have you and certainly competitors as well to the degree we can measure that. Yeah. Not gonna speak to what what they're gonna do, but we think our our APRs are quite competitive with the Fed making the moves that they've had to make. We will adjust accordingly. We always have a test and learn methodology there. You know, I'm not gonna say we're gonna try and get further ahead of the market, but I still think in in maybe this space, there is a gap in interest rates that still exist, although it might be closing. But I think it's the broader offering question. You know, how do we compare from a an interest rate standpoint, certainly, and maybe term, but, obviously, couple that with what's the price of the car and all the answer all the other fees associated with that. So I think the bigger offering picture is the one that's really gonna be the the focus here. And, Sharon, what I'd say, you know, looking at it a bit more broadly as well is that the reductions SG and A, so these are levers that we've talked about. The reductions in SG and A, the focus on COGS, growth opportunities in CAF, in full spectrum, as well as EPP products that Jon talked about and we're happy to elaborate on. Those are all levers that bring to bear an ability to be more competitive in the marketplace. At the same time, we're reevaluating, as David talked about, reevaluating how we go to market. Right? And how we go to market, as Jon mentioned, it's the kind of cars, it's the price of the cars, how we communicate on our website, it's all of those items. And so we do think we have levers at this point that are lining up be materially more competitive and to go to market with.
Operator: K. Thank you. Thank you. Our next question comes from Scott Ciccarelli with Truist. Please go ahead. Your line is open.
Scott Ciccarelli: Good morning, everyone. So historically, I'm I'm gonna take another shot at this GPU question. Historically, I believe the management teams have talked about needing to lower prices by about $500 per unit to see a real inflection in the sales pace. So that would obviously be meaningful to use Enrique's words. Is that in the range of how you guys are thinking about reducing your GPU?
Enrique Mayor-Mora: Yeah. What I'd say is don't think we've said $500 as as a meaningful or a needed amount to to drive sales. You know, we we do price elasticity testing. We're always in the market doing price elasticity testing. I'd tell you the number to to to move sales is is well south of that. You know? And in terms of what we're doing this quarter, look, we're trying different things. We are going out. It was, again, sizable for us. To talk about on this call. Gonna test the impact on sales, again, in combination with an increase in marketing to kind of get the a boost there. Overall. And we're gonna report out in the fourth quarter call in April. And and communicate what we saw in the market. We're optimistic it's gonna change the trend in sales, but I I wouldn't say that $500 is what need to to to move sales, that's what you're saying.
Scott Ciccarelli: Got it. Thank you. And then just just a follow-up if I can. I guess it's a a bigger picture question. For Tom and David. Like, what do you think CarMax represents to consumers today, like, you know, in late twenty twenty five, you know, given some of the alternatives that are out there? And where do you think you would like to end up in, call it, two to three years? Thank you.
David McCraight: Hey there. Nice to talk to you. David here. Know, we think many of the things that CarMax has meant to the customers in the past can continue to be. We believe we're a leading used car destination for customers. We've invested a lot of money and time and in building and broadening those capabilities to be able to let them shop where they want and how they want. And, ultimately, we believe we're the most trusted brand out there. The difference is where we've been and and the performance we need to adjust to and adjust our model towards getting to and have confidence we're gonna be able to get there in the near term.
Tom Folliard: Hey, Scott. It's Tom. Good to good to talk to you again. You know, from my perspective, and I'm a little biased, the last thirty years, we've built an iconic brand. And I don't think that's changed at all. I think the consumer knows what we represent. They know the quality that we represent. I think our associates in our stores and in our CECs and across the board are are completely engaged and and ready to serve the customer. We've spent a lot of money investing so that we could serve the customer however they wanna served, whether it's online or in our stores. And I just think we we need to activate that. We need to do a better job of presenting that to the customer upfront. But in terms of the brand and the strength and the quality of our vehicles, all that stuff is fully intact, and I think it's the the the the basis for us moving forward. And a basis from which we can we can grow again.
Scott Ciccarelli: Thank you, and happy happy holidays.
Tom Folliard: Thank you, Scott. Thank you.
Operator: Thank you. We will move next with Craig Kennison with Baird. Please go ahead. Your line is open.
Craig Kennison: Hey, good morning. Thanks for taking my question. On the SG and A, topic, what is the baseline SG and A from which you expect to cut a $150 million? Just curious so that we can track your performance against that goal.
Enrique Mayor-Mora: Yeah. No. Absolutely. And so when we talk about our SG and A goal of a $150 million it's a reduction of SG and A. Opportunities. That's really comparing it to last year, if you will. So if you wanna use you know, our base was $2.5 billion. Right? Roughly. And so that's what we're using as a baseline and those are the reductions that that we're going after.
Craig Kennison: And that is an exit run rate as of '27.
Enrique Mayor-Mora: Exactly.
Craig Kennison: K. Thank you. Thank you.
Operator: Our next question comes from Rajat Gupta with JPMorgan. Please go ahead. Your line is open.
Rajat Gupta: Great. Thanks for taking the question, and thanks for the the candid assessment the prepared remarks. I had a follow-up on just the margin versus same store expectation. Could you could you give us, like, any any sort of early read? Because we got the sense that last quarter also, there was some effort to become more price competitive. Anything you can give us in terms of, like, early reads in December, and how those actions have already started to show some results, or is it still very early, or have you not implemented them yet? And what kind of, like, equation are we looking at, you know, in terms of you know, dollar versus same store volume, you know, trade off. Dollar GPU versus same store volume trade. Any any any more insights you can give us on how you see this equation playing out? I have a very quick follow-up. Thanks.
Enrique Mayor-Mora: Hey, Rajat. So we just rolled out the price changes. So it it is too early to provide any kind of insight into that. And, again, we will provide a a view into that in a Q4 call, but we literally just rolled out those changes. So we're rolling them. They're underway. Yeah. And they're underway. Actually, they're not that's a good point. They're not fully rolled out. They're underway, but we just started this week. So
Rajat Gupta: Is it hope to, like, go back to share gains or pause unit growth? I mean, what kind of, you know, the the expected outcome, in the near term?
Enrique Mayor-Mora: Yeah. And look, like, we are optimistic that this this lever that we're pulling and again, it's really the combination, right, of having lower margins, lower prices out there being more price competitive. Supporting it with acquisition marketing, So think of, like, paid search, other direct levers like that, like directly to support sales is gonna change the trend. Of our performance. So we just reported a negative nine comp Last quarter was a little better than that, but not great. And our goal is to change the trend and to get the sales flywheel going. And that that's what we're looking to do. And at the same time, we're working really hard on getting other profitability metrics or levers, I should say, in place. And, again, those things are SG and A reductions, COGS reductions, ETP growth, cap full spectrum, so cap income growth over time. These are all levers that we're pulling. Because our goal is to drive sales over time, absolutely, and to drive earnings power over time as well.
Rajat Gupta: Understood. And just just a quick follow-up on CAF. You know, it looks like, you know, as you mentioned, like, third party, tier three penetration went up. Is this is there is there, like, any meaningful, like, tightening going on right now? I'm curious know how those reserves will change going forward once you go back to having more in house you know, tier three, tier two type penetration. Maybe, like, any color you can give us on this CAF provision in the fourth quarter would be helpful as well. Thanks.
Jon Daniels: Sure. Yeah. Appreciate the question, Rajat. Yeah. I I don't think there's a tremendous story in the tier two, tier three. We always just provide the numbers and provide a little guidance as to the delta there. But, you know, there's always, you know, swapping between know, maybe a tier two lender that is choosing to be a little more aggressive or doing tightening. Again, they're gonna make their own individual decisions. Versus the tier three partner that, again, may be the recipient of that tightening higher up upstream or, again, being a a little looser on their side. So don't think there's a meaningful story there, just to clarify. Just really providing the numbers. And and ultimately, to your second question, I don't think that I I wouldn't read much into that in terms of know, CAF provision. Again, we're as we stated very, very excited about our opportunity as we go go down into the tier two spectrum. You know, just for point a point to note, know, this is we were over 10% of the tier two volume. Came to cast this quarter. We went after it, and so we're really excited about that. And, you know, as we continue to go further spectrum, we're generally operating in the higher 50% of tier two, but we think, you know, we can get the entirety of that credit spectrum as we methodically roll out refinements to our model. We're excited about the, the funding solutions we have in place. And so you know, we will preserve for it accordingly, and we will enjoy the income, and we will get there.
Rajat Gupta: Okay. Perfect. Thanks for all the color, and good luck. Thank you.
Operator: Thank you. Our next question comes from Brian Nagel with Oppenheimer. Please go ahead. Your line is open.
Brian Nagel: Hey, guys. Good morning. Tom, welcome back to the Falls.
Tom Folliard: Hey, Brian. Thanks.
Brian Nagel: You know, look. This is gonna be a potentially repetitive I wanna make just get this point across. So we're talking about, know, pricing and, you know, and and and being more aggressive on pricing here. For as long as I can remember, and I apologize for some time now. You know, you've done these pricing tests. And the message from CarMax has always been the same is that it it they they really lower prices, so the the debt result is nothing you know, not been favorable. So I I guess, like, that one ask is you're talking about once again you know, is either testing or moving forward with lower prices except in lower GPUs. What's what's different this time? You know, why why do you think that this will you know, this time around is be different than the past, which actually can drive better better know, unit volume.
Enrique Mayor-Mora: Yeah. I think in the past, look, when we've lowered our prices and we do price the less all the time. Right, Brandon? We talk about that. I think the equation in the past has been know, you lower your prices, and then when you flow it through to the business, do you make Right? enough money to offset the lower margin with increase in sales? It absolutely drives sales. The equation was, well, it didn't always drive enough profit. I think the difference absolutely right now, there's a clear difference. The clear difference is that we have strong levers that are now supporting to look at the business more holistically. So, again, you know, think of the reduction in SG and A, that aggressive Tesla going after. You think of COGS and the aggressive we're going after COGS. You think of EPP growth. If think of CAF full spectrum income growth. These are all levers that are going to offset some of that pressure we had seen when we looked solely at the impact of lowering prices. So there's absolutely a difference and we're just looking at the business a bit more holistically, and we have those levers at hand here.
Tom Folliard: Yeah. And, Brian, I I would just add that as Enrique mentioned, we've always talked about it in terms of total profitability. The the when we do price changes, we definitely see some sales movement. And then we've always had kind of the guardrails around what total profitability is. I would just tell you that our focus in the in the near term, given our current performance, is to drive sales and get things moving in the other direction. The other thing to remember is when we say we're at a lower price as a $100 or $200, it doesn't mean we're taking a $100 across the board on cars. It's more like if we say a $100, it it's think of it as percent of our cars a thousand dollars. Or 5% of our car is $500. So it it does it meaningfully impacts the trajectory of sales because because of the way we execute price changes. But back to our near term priority is to get things turned around and get sales moving in the other direction.
Brian Nagel: Thank you. And you. And then just a follow-up. Sorry sorry, David. But, you know, with regard to marketing, know, so you talked about know, if I understand correctly, you stepped up marketing now. You know, you know, it's so same. That's not the gas a little more. Is it when you think about it, is it more of the same, or or or is is Carmex really working on coming with, you know, to market with a new marketing message?
David McCraight: So yeah. Good question. Thank you. So what we're doing is taking the the new campaign was launched recently. As the team took you through. And what we're focusing on now now in the near term is sort of optimizing the campaign we have with the results and tests we have. So shifting things that are gonna into driving more conversion, messaging, perhaps some of the and dialing back perhaps some of the brand longer term spend on it. Ultimately, we think the review and positioning of the campaign is really something for the new CEO who's gonna align it with the new strategy, and we're working with the existing campaign and resources we have right now. But the team has been working to optimize the results based on media, based on geographies, and based on messaging.
Brian Nagel: Thanks. I appreciate all the color. Thank you.
David McCraight: Thanks, Brian.
Operator: Thank you. Our next question comes from Daniela Hagian with Morgan Stanley. Please go ahead. Your line is open.
Daniela Hagian: Thank you. Good morning, Tom, David. Appreciate your color in the prepared remarks. My first question is on that digital redefining the digital platform. What specifically within that needs to change to drive more of a selling experience? And how does that impact the operating cost structure with your store base? What would be early indicators of progress in in that redefinition?
David McCraight: Yeah. The so we'll take the first part of the question first. We have worked very diligently and over the years to build the capability set. But we have not been as focused yet on the next stage, which is to make it easier. Look. Shopping online with us is not easy. We have ways to streamline it, and we have ways to make the digital selling voice really, just like our sales associates in the stores, make it easier to bring to get them to the ultimate sale, and the ultimate satisfaction is finding a car they like that they can afford. But and we recognize that with all the good work that's been done, it's still not an easy experience. We've and so in our earnest efforts to provide information and countless still have opportunity to streamline it, bring it there. And then in terms of the impact downstream, we'll we'll work in lockstep with the organization and the field to figure out what those best options are. As both Jon mentioned and Enrique mentioned earlier, we have an opportunity to look holistic at our business model from the from our COGS, our SG and A, our messaging, and all those components and that includes how we make decisions, not necessarily individually, but more holistically and what that means for an offer for the customer. We don't lose sight of what's most important to them. But I would expect you're gonna see some of the changes. Tom and I would expect you'll see some of the changes and it'll be iterative. In the next month or two. You'll see it, and we'll continue after that. But you should see the the efforts are underway and the team's very excited about this next step and that digital journey and how important it is in linking with the field team. Very symbiotic.
Daniela Hagian: Got it. Got it. That's helpful, and I appreciate your transparency there. My follow-up is on COGS. Right? You and Enrique, you keep calling out COGS as a key lever. What's the strategy with reducing that line item, and are you still progressing towards that regional reconditioning center approach?
Enrique Mayor-Mora: Yeah. I'd tell you, look, we have been focused on COGS for I mean, we're always focused on COGS. What we've done is that we've called it out over the past couple years. Like, last year, we communicated a goal of a $125. Per unit. We hit that goal. This year, we had communicated again another goal. A $125 per unit. I would tell you, given where sales are, or have been for the past two quarters, we probably a little bit behind. That goal. Not not because the initiatives aren't there, the teams aren't doing great work. It's just because you delever. In a tough tough sales environment. But we will continue to put even more accelerated goals internally to go after COGS opportunities. Some of that is through the reconditioning centers. Right? Some of that I'll give you, like, a real example. We just rolled out a parts selection tool. In our stores. We're already seeing benefits. From that, right, really kind of forcing our associates in the stores to pick balance speed with quality with cost and making it really easy for our associates to do that. And we're seeing results fairly immediately, and that's just an example of items we're focused on in COGS. In terms of the re reconditioning centers, yeah, we've rolled out at this point in time five Only two of them have been open for about a year. It's still kinda early to tell what the goals are. I mean, the the ultimate goal is absolutely to get them more efficient. We're already seeing logistics savings in the system because we've rolled these things out. And we expect that those will perform in line with some of our larger reconditioning units that we have in stores like Murrieta. In LA that we've seen. They're highly efficient store because of the volume that we pump through. And we have the same expectations with these more regional reconditioning centers. But again, we've only rolled out a few at this point in time. Yeah.
Operator: Thank you. Our next question comes from David Bellinger with Mizuho Securities. Please go ahead. Your line is open.
David Bellinger: Hey, good morning, everyone. Tom, nice to talk to you again. In the prepared remarks, guys mentioned reassessing the cost of bringing a car to market. What about the time to turn vehicles? CarMax has been a leader in that area for a long time. Looks like some competitors have increased their speed to market pretty dramatically. Is there anything you guys can do around AI implementation cut down that timeline, use your thirty plus years of data, and potentially avoid some of those sharper depreciation swings that have disrupted the business over the last few quarters. How should we think about that opportunity?
Enrique Mayor-Mora: Yes. I think, look, we're always focused on reconditioning, on speed, on lowering our WIP You know, for example, this quarter, you know, we increased our sellable inventory, decreased our overall inventory. Right? So that's really a strong focus on WIP. That actually this quarter helped per turns relative to last year despite comps being down. 9%. So you can see the organizational focus on just getting better in terms of turning vehicles. I think our off-site reconditioning locations will help as well because it would be even more efficient. So just a couple of examples there in terms of the focus moving forward.
David Bellinger: And then Enrique, maybe a a second question. Just can you update us on the real estate strategy? Anything that's changing there? You guys own a lot of your real estate. Is that a potential area where you could monetize and use that to fund more investment in the business if you need to?
Enrique Mayor-Mora: Yeah. Look. I think it it always is a potential we own a lot of our sites out there for our store locations. I'd tell you we have better axe better sources of capital versus doing, a sale leaseback or something. So we have great banking relationships. Great partners out there, capital providers, and, you know, we have a revolver, $2 billion revolver we can dip in there. And you know, just more efficient ways to to get capital for us. Rather than kinda monetize our our stores. Or the land. Under our stores.
David Bellinger: Got it. Thank you.
Operator: Thank you. Our next question comes from Chris Bottiglieri with BNP Paribas. Please go ahead. Your line is open.
Chris Bottiglieri: Hey, guys. Thanks for taking the question. First one, more clerical, I suppose, and then just a bigger question. Did you give the service profit? I think it was $4 million last quarter. Curious what that was for Q3. Is that a good run rate for Q4 given volumes are pretty similar Q4 versus Q3? Then my actual can you just elaborate what's happening with the credit penetration? It sounds like the prime side, I suppose, you're seeing less appraisal traffic or less traffic coming in. Is there would think that with a hay shaped economy, that's probably the healthier side of the market. Just kinda curious what's causing that, what you're seeing there. Thank you.
Jon Daniels: Wanna do that with Chris? I'll check. Yeah. That's fine. Chris, this is Jon. I'll I'll take your the the credit side. Yeah. As we've noted in the in the remarks and, yeah, even reflecting on Sharon's question, when we look across the credit spectrum, yeah, we really can gauge who's coming and shopping with us through our, you know, our our prequel product is a is a great place to do it. You know, customers love it. They take full advantage of it. Know, eighty eighty plus percent of our customers start with credit online. Yeah. I think we see definitely an opportunity in that sort of six fifty to seven fifty credit space. And as I mentioned earlier, hard to speculate what's driving that, you know, is that, you know, we think our rates are are quite competitive there. But it's always a question of inventory, price, availability, all of that. I think as we mentioned on this call, holistically, all of that is up for discussion, and we're gonna look at, again, improving our overall offering there. So while you would say k shaped economy, know, all ultimately, we do see the others folks probably are less stressed by affordability. We wanna make sure we have the right product at the right price at the right time for them when they're when they're ready to purchase. So I think there's improvement there. That's really what the what the comments, I think, are in that space are.
Enrique Mayor-Mora: Yeah. And regarding service in the quarter, there there definitely was pressure in services, as you know, and as we talked about, it is a line item service margin that deleverages when sales are are more challenged. Look, it's like, over the past couple of years, the teams have made material strides. In service margin over the past couple of years, and we had even talked at the beginning of this year that we expect it to be, I think, slightly positive for the year in service margin. Certainly, our sales expectations at that point in time were not where we are currently actualizing. But I'll tell you, for the full year, our outlook right now, is, you know, maybe a little unprofitable or a little profitable. Depending on sales performance in the fourth quarter. And that just tells you the the the incredible work the teams are doing in for service margin there. But we did have a negative margin in the third quarter, and we do expect, as I talked about in my prepared remarks, some pressure in the fourth quarter. We'll be comping over some cost coverage cost coverage that we took last year. But, again, if I take a step back and I look more holistically at it, the teams have done tremendous work You know, it's gonna be borderline whether or we hit that positive margin for the full year. But, again, sales have been definitely more pressured than what we had anticipated. Versus the beginning of the year.
Chris Bottiglieri: Gotcha. Thank you.
Operator: Thank you. We will move next with John Babcock with Barclays. Please go ahead.
John Babcock: Hey, good morning, and thanks for taking my questions. I guess, just first of all, was wondering if you could talk a bit more about what the Board looking for in its next CEO and also how we should think about timing in terms of, you know, when something might be announced there?
Tom Folliard: Recognizing that might be variable. Yeah. I I would just tell you it is it's the board's highest priority right now. It's my personal single highest priority as I'm leading the search along with the rest of the search committee. You know, we're looking for somebody that has led a complex business with you know, a diverse set of assets. We're we're hoping to find somebody that's also led some type of a digital transformation Doesn't have to come from automotive necessarily. Doesn't necessarily have to come from retail. But, you know, one of the most important things is that somebody who understands our culture and can can can lead this team onto the next phase of our success. In terms of timing, we're we're moving as as as quickly as we can, but I I don't really an upgrade an update on timing.
John Babcock: Okay. Totally fair. And and then next, least based on the work that you've been doing over, you know, the last couple months and and even, you know, in knowing the business, was just wondering, how are you thinking about the omnichannel business? I mean, do you think this is kind of the setup that you wanna keep longer term? Do you think you wanna shift more towards digital over time? You know, what what's the benefit of omnichannel versus digital or or pursuing more of a brick and mortar strategy?
Tom Folliard: I I think for us, it's it's really it's all of the above. Know, over the last several years, as the team has been communicating, we've spent hundreds of millions of dollars in our infrastructure and giving us the capabilities to meet the customer wherever they wanna I think having a national physical footprint is an advantage for us, over 250 locations as David mentioned in the beginning of the call. Near 85% of The US population. So I I think it's more of an all of the above strategy. I think some of the comments you've heard today is that we're not happy with how we present to the customer from a digital standpoint. And I think we're gonna you'll see us make some significant improvements there. But we think our stores are extremely valuable, and our and our store team do a great job meeting the doing converting customers once we get them in the store. But we we clearly need to get better on the digital side.
David McCraight: Yeah. And just to add a little color to Tom's comments on that, We again, CarMax has built out so many capabilities And now when we are talking about holistically looking at our business model, we've built out so many potential capabilities, and many of them are helpful, but some of them probably are adding clearly decisions we've made, things we're trying to do in our best efforts to please everything for every customer. We have an opportunity to streamline, make some decisions, prioritize some things, based on real quantified insight from the consumer in ways that we can streamline and optimize the advantages that Omni should provide versus getting caught in some of the complexities that Omni also provides. So we'll think you'll see that in the near term as the team sort of finishes that infrastructure build out, but then gets really sharpen it and hone it into a competitive advantage.
John Babcock: Alright. Thank you. That's very helpful.
Operator: Thank you. We will move next with Jeff Lick with Stephens Inc. Please go ahead.
Jeff Lick: Good morning. Thanks for taking my question. Tom, it is absolutely awesome to hear your voice.
Tom Folliard: Thank you.
Jeff Lick: So listen, David. A question for you. You know, you've been a senior leader at retail organizations that were digitally native and also retail organizations that kind of a hybrid. They have, you know, a physical business and a digital business. I was wondering if you can speak to the challenges of a you know, CarMax is a hybrid business where you know, there are people that are went into the physical part of the business and there's some natural tension which makes it more difficult to have you know, an ideal digital business.
David McCraight: Yeah. Jeff, great insight, and, thank you for that Yeah. There there are examples of that, and that's a little bit of what I was alluding to. Now recognize Tom and I have been in the chair for two and a half weeks or so, but, what the most important things I see is that it's a really ex team's very excited about breaking through, and it's incredibly talented and dedicated group. We just need to work across those channels to make sure we're putting the customer at front of those decisions and not having the operational biases or legacy approaches come through. So there is not a battle one version versus another, but what we need to do is provide some leadership and focus the team so we can start executing more with that. What's most important to the customer? Streamline. Make sure it's a competitive offer. Because we know we own the brand and we know we own the trust. In a great part of the American consumer. But you're absolutely right. Many organizations Omni causes them to trip up. I would say we're just going through finish sort of like an off road adolescence, and we'll be moving into a much more refined effort in the coming time. Now that being said, you wanna confirm that answer with the new CEO when they come but in the interim, we're that's why we're so optimistic about the improvement. We have so many of the components already in place.
Jeff Lick: And I was just wondering if we could quick double back to Sharon's first question about potential cohorts that you might have lost or been, you know, be less effective with. You know, I don't think she was thinking about necessarily the FICO score. You know? And this kinda gets into the advertising strategy. You know, when you know and, Tom, just wondering, you know, back in the day, it it always seems like you over indexed with that young professional, likely a female, that didn't wanna go into the franchise dealer and do battle. Know, you provided a much more easy professional experience. Do you think that your primary competitor has maybe cut you off the path at the past and hasn't even done a better job of providing an experience for that person where it's like, look. It it now it's super easy.
Tom Folliard: You know, it's it's that where Your your question about cohorts, the know, second quarter, we were down 6%. Last quarter, we were down 9%. So we need to improve across the board. In turn, I I would just go back to the comments we've already made. We're not as easy as we need be for the consumer. We need to simplify our processes. We need it's so easy to buy stuff online. It doesn't matter what it is these days. And it's it's true for automotive. It's not just true for one or two competitors. It's across the board. And, again, we've invested the money to put ourselves in a position to be the best at this. And we got some work to do to get there. But we need to simplify for the consumer how they go through the process with us, whether it's on our website or in our app or in our stores.
Jeff Lick: Enough. Best of luck, and, look forward to hearing from you again.
Tom Folliard: Thanks, Jeff.
Operator: Thank you. We will move next with Chris Pearce with Needham. Please go ahead. Your line is open.
Chris Pearce: Hey, sort of following up, good morning, on Jeff's thought there. Guess, do you do you think you have the customer base that wants to do more of the work online to sorta drive an OpEx offset? In in GPUs, or do you need to reposition the brand to get younger? Or would you sort of reject that framing?
Enrique Mayor-Mora: You say that again? Sorry. Yeah. Sorry. We missed that.
Chris Pearce: Yeah. I'm just curious. Do you think you have the customer base that wants to do more of the work online? Like, do you think you need to get younger with this new ad campaign? Or do you think it's just about pricing and the experience you're offering?
Tom Folliard: I absolutely think we have the customer base that wants to do more of the process online. The way, the younger you go, the less money you have and the less likely you are to have have the credit required to buy a car that's $26,000. So but yeah, I think we have plenty of customer flow, and we we need to take better advantage of
Enrique Mayor-Mora: And as David and and Tom talked about, look, we we have we have enviable assets. Right? We have an awareness level that's off the charts. We have consumers that are extremely loyal and that love our brand. We have associates that are outstanding. We have more than 250 stores across the country that operate extremely well. You know, we have a strong we've invested in the digital capabilities. We just need to kinda fine tune how those things mesh together. But in terms of whether or not we have customers out there that wanna buy us, I would tell you absolutely. That's not the concern that we have. Opportunity that we have is to make our offering based on a consumer most compelling that we can make it, and that's what we're focused on.
Chris Pearce: Okay. Thank you, good luck.
Tom Folliard: Thank you.
Operator: We will move next with Michael Montani with Evercore. Please go ahead.
Michael Montani: Yes. Hi. Good morning. Thanks for taking the Tom, good to hear from you again as well. Just wanted to dig into, I guess, it's a three parter, but it's kinda all related, which was depreciation trends just some incremental color about what you're seeing. The the competitive backdrop you know, is the intensity ratcheting up. And then lastly was on the reinvestment into GPU. Just how how much of a reinvestment we ought to be thinking about moving ahead?
Enrique Mayor-Mora: Yeah. Let's separate depreciation. You know, my comments were really in the wholesale area. Right? We did see very sharp depreciation within the quarter. A greater than 10% depreciation within the quarter. So very sharp, and that impacted performance within the quarter. And, you know, as that abates, then we would expect that performance would have turned around. In terms of GP, you know, we we did talk about that. Look. It's material in that us to talk about it on the call. But at the same time, we just rolled out you know, different levels of pricing changes. We're gonna see kind of how it performs within the quarter. And then in our Q4 call, we'll come back and, you know, we'll we'll talk about what we saw. And also what that means for our our plan moving forward. You know, I say that, but we're also optimistic that it's gonna change the the sales trend that we've had, you know, negative six, negative nine comps. Sequentially. And that's what we're looking to change. We're looking to change that trend, and we'll come back with that. And forget your number two question, but that the three part.
Michael Montani: Competitive intensity. Number one and number three. Don't know.
Tom Folliard: Yeah. Let me ask let me add to the pricing part, which is our our pricing is not it's not like we have a static pricing model where we lower all of our prices and leave them there. This is gonna be very dynamic throughout the quarter. You know, I think one of the things David and I and the rest of the team here assessed in a short period of time is you wanna get things moving in the other direction. There's there's some significant levers you can push, but the two biggest are clearly pricing and marketing. So we're making moves there to try to get the trend moving in the other direction. But it'll be very dynamic throughout the quarter. It's why you know, we're not trying to be evasive with what we think the margin impact will be, but we're trying to be as impactful as we can And, again, we're eighteen days into the quarter, so this will be a dynamic process throughout the next three months.
Michael Montani: Thank you.
Operator: And we don't have any further questions at this time. I will hand the call back to David for any closing remarks.
David McCraight: Thank you. We'd like to thank the thousands of CarMax associates who helped build the business that we have today and will be part of our next leg of growth in the future. Thank you all for joining our call today, and then before we sign off, Tom has some closing remarks.
Tom Folliard: Yeah. I just thank all of you guys for your support. Many of you I I know and have heard your voice in the past, and although it's good to be back, I wish it was under slightly different circumstances. But what I would tell you is from the board perspective, we are absolutely committed to getting this right. David is the perfect person to to sit in this role while we search for our next CEO. I'm happy to spend more time on the business. What I've been most enthusiastic about in the last two weeks is how engaged all of our employees are and how excited they are to win. And as we've mentioned multiple times and Enrique just kind of covered in total, we have incredible assets in this company. We have a great balance sheet. We have an iconic brand. We have two fifty locations. And most importantly, what has always separated us from everybody else is the engagement of our more than 28,000 associates. And none of that has wavered. So I just wanted to close by saying the board is absolutely committed to getting this right. And I wanted to also thank David for the role that he is playing while we're in the middle of this search. And lastly, I wish everybody a happy holiday season. Thank you for joining us. And, we'll talk to you next time.
Operator: Thank you. Ladies and gentlemen, that concludes the third quarter fiscal year 2026 CarMax Earnings Release Conference Call. You may now disconnect.